Operator: Welcome to the Lee Enterprises 2025 First Quarter Webcast and Conference Call. The call is being recorded and will be available for replay at investors.lee.net. At the close of the planned remarks, there will be an opportunity for questions. Participants accessing this call by webcast may submit written questions through the website and they will be answered during the call if time permits. Otherwise, you will receive a response later. A link to the live webcast can be found at investors.lee.net. Now I will turn the call over to your host, Jared Marks, Vice President, Finance.
Jared Marks: Good morning. Thank you for joining us. In addition to myself, speaking on this morning's call are Kevin Mowbray, President and Chief Executive Officer, Tim Millage, Vice President, Chief Financial Officer, and Treasurer, and lastly, Chief Information and Commercial Officer. Earlier today, we issued a news release with preliminary results for our first fiscal quarter of 2025. It is available at lee.net as well as major financial websites. Please also refer to our earnings presentation found at investors.lee.net which includes supplemental information.
Jared Marks: As a reminder, this morning's discussion will include forward-looking statements based on our current expectations. These statements are subject to certain risks, trends, and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and in our SEC filings. During the call, we refer to certain non-GAAP financial measures. Reconciliations to the relevant GAAP measures are included in the tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray.
Kevin Mowbray: Thanks, Jared, and good morning, everyone. Our team has made great progress driving our digital transformation forward while continuing to serve our communities with trusted high-quality local journalism. In our last call, we shared how Lee has been leveraging artificial intelligence to enhance our digital transformation strategy. I am excited to again have Les Alder Linde, our Chief Transformation Commercial Officer, on the call today. Les will also share more about how Lee is transforming how we engage with our customers and scale our advertising opportunities through the use of AI.
Kevin Mowbray: Lee is consistently outpacing our industry peers in several important measures of digital growth, both digital subscriptions and digital agency revenue. Digital subscription revenue grew 46% annually over the last three years, nearly doubling the nearest industry peer. On the advertising side, AMP by digital agency revenue has significantly outpaced Charter Harris' peer, growing 33% annually over the past three years.
Tim Millage: Total digital revenue was $302 million on a trailing twelve-month basis, including $102 million with an Amped by Digital agency. Our first quarter digital revenue grew 5% year over year with each stream of digital revenue showing growth. Digital subscription revenue continued to lead our strong growth, growing 40% year over year. Our digital revenue is diverse and growing, and our first quarter results put us in a position to take advantage of the AI partnerships we have recently made.
Les Alder Linde: Building on the momentum from our last earnings call, we have made significant advances in AI-driven personalization for our readers and AI business technology for our advertisers. For our readers and subscribers, we developed the next-generation AI personalization system powered by AI search and AI answer engine technology through our partnerships with Perplexity and AWS. This system enhances how users interact with our content, ensuring that our trusted journalism is more relevant, engaging, and accessible than ever before. As part of this, we are testing a hyper-personalized consumer use experience powered by AI and Lee's extensive news network. Currently, we are testing across our major news markets, with expanded testing throughout the quarter. There is more to come in the next couple of quarters, and early test results are promising, with adoption rates already at 85% among engaged users, demonstrating a strong demand for AI-enhanced use.
Les Alder Linde: On the advertising side, we have launched Smart Sites, an AI-powered website platform that transforms business pages into dynamic search and answer hubs. This technology provides businesses with a competitive advantage, increasing user engagement and time spent on their site by a factor of five to one compared to traditional specialized content websites. In addition, we are excited to announce the AI Enablement Program or AI Boost, a new AI-powered advertising and automation solution to generate high-quality content for our business. The AI Boost program will begin creating automated text-based advertising and marketing content, ensuring businesses maximize their visibility across the emerging AI search channels and traditional global web search. As we progress into 2025, this product will expand and will include automated podcast and video content creation, providing advertisers with a full suite of AI-driven content solutions to enhance their brand presence. Complementing this launch, we will introduce the Small and Medium Business AI Advanced and Resource Center, which will include new AI-powered marketing tools and advertising automation solutions to help businesses scale their digital presence more effectively. There are more details to come, and they will be shared in the next quarter. At Lee Enterprises, we remain committed to leveraging AI to create value for our readers, advertisers, and shareholders, driving both engagement and revenue growth. More to come in the next quarter as we continue our AI-driven expansion.
Tim Millage: Digital revenue has grown more than 17% annually since FY21, and that has translated to 13% annual growth in digital gross margin. Our digital margin is also an impressive 70%, meaning our digital businesses are highly profitable. Replacing upfront revenue with growing and profitable digital will help us achieve long-term sustainability, and we see that on the horizon in the next year or two. Speaking to the quarter's results, total operating revenue in the first quarter was $145 million. Total digital revenue continued to show growth over the prior year, 5%, led by 14% revenue growth in both digital subscription revenue and Amplified Digital revenue. As Les mentioned, it is still early days with our AI partnerships; however, we expect them to accelerate digital revenue growth in the last three quarters of FY25, achieving our outlook of 7% to 10% growth year over year.
Tim Millage: Moving over to the cost side, Lee has a successful track record of effective cost management. We remain focused on operational excellence and driving margin in our legacy print business. However, our main priority is to drive long-term sustainable digital revenue growth. Investments in AI will drive new revenue and maintain our dominant position in the local market. As we have proven year after year, we expect our investments to be more than offset by cost-saving efforts on the legacy side of our business. Continuing that track record, we have identified $40 million in annual cost reduction that will be executed by the end of the second quarter. On the balance sheet, our credit agreement with Berkshire Hathaway includes favorable terms, including a 20-year runway, a fixed interest rate, and no financial performance covenant.
Tim Millage: These better-than-market terms allow us to stay laser-focused on executing our strategy. We also continue to identify opportunities to monetize our non-core assets, which improves liquidity and facilitates accelerated debt repayment. In the first quarter, we closed over $5 million of asset sales, and another $1 million deal has already been closed since. We have identified an additional $25 million of non-core assets to monetize, and the monetization of these assets will provide a significant source of liquidity in 2025.
Tim Millage: As a reminder, Lee's three-pillar growth strategy is poised to achieve total digital revenue of more than $450 million by 2028. As Kevin mentioned earlier, our first-quarter results showed $302 million of annualized digital revenue, demonstrating we are well on our way to achieving our total digital revenue target. Achieving our long-term outlook will come from continued growth in digital subscription revenue, Amplify Digital Agency revenue growth, and new AI revenue opportunities. Looking at the full year, I would like to remind everyone of our 2025 outlook for total digital revenue and adjusted EBITDA. We expect total digital revenue growth in the range of 7% to 10%, and we expect adjusted EBITDA to grow in the low single digits. And with that, I will turn the call back to Kevin for closing comments.
Kevin Mowbray: I would like to reiterate my gratitude to the entire Lee team for the progress we have made on our digital transformation. We are paving the way for Lee to lead the industry in this era of AI digital transformation. This concludes our remarks. With Tim and me on the line, we are ready for any questions you may have. Operator, please open the line for questions.
Operator: Thank you. At this time, we will be conducting a question and answer session. As a reminder, if you are accessing this call by webcast, you may submit questions on your screen. Those questions will be answered during the call as time permits. One moment, please, while we poll for questions. And our first caller comes from the line of Daniel Harriman from Sidoti and Company. Your line is now open.
Daniel Harriman: Thank you. Hey, good morning, guys. Thank you for taking my questions. Just a couple ones, and I will start with one for Les. Obviously, a lot is going on with the AI, and I can you just talk about kind of the plans to monetize your AI library and any potential launches we could be looking for in your second fiscal quarter. And then just any value proposition that you may be providing to your advertising customers and conversations that you are having with them. Then my second question would be more for Tim and Kevin, and that is just if you could provide a little bit more information on the cost initiatives that you have identified for 2025, as well as, you know, your confidence in hitting the range of digital revenue growth that you provided along with EBITDA under the most recent quarter was a little bit challenging. But any information on that. And then as well, I did not see it in the release. And if I missed it, I am sorry, but just how many digital subscribers did you end the quarter with? Thanks, guys.
Les Alder Linde: Great. Certainly. So with regards to our library of content, we are evaluating what is the highest return, obviously, that we can get for our corpus of information to use in everything that is a core asset of the business. So we are taking all the right steps to analyze what is the best deal that you can possibly get and what more correct partners that will continue that opportunity into the future. We think there is a lot of yield in our content. But right now, the closest proximity to, you know, revenue and opportunity is AI Boost. That is where our advertisers gain the benefit of the relationships we have already established with Perplexity and being able to list their content in those search and answer addresses so that they can establish their next best position in the digital marketplace. And as global search now transitions to the search answer engines powered by AI, we are the first company getting there to provide that capability. So we feel very strong about the AI Boost program. And I think just in general, as we see lots of other changes moving in what is called the white space, applications of AI, not just the large language models, we are really well positioned, better than anybody in the industry, to take advantage of that. We have proven that already with the test of our personalized new services.
Tim Millage: I can jump into your question, Daniel, regarding our confidence in our outlook for FY2025. You mentioned the cost side. I think that is one aspect that gives us confidence. Overall, there are three things that I would point to that give us confidence in achieving our full-year guidance. Number one, we are continuing to gain scale from our core digital businesses, that is amplified, that is our digital-only subscription revenue. In both of those revenue streams, they grew 14% year over year in the first quarter, our fastest-growing revenue categories. They make up 36% of our revenue in the quarter and are continuing to gain scale. On the unit side, you asked specifically about units, you know, digital subscription units were up 8%, totaling 774,000. The second area that gives us confidence in achieving our full-year guidance is what Les just talked about, accelerating our growth due to the AI initiatives, specifically the AI Boost program. And other programs, you know, we think that has the opportunity to accelerate digital revenue growth in quarters two through four as well. You know, that can, you know, help accelerate revenue trends. And then the last point is on the cost side. We have identified $40 million of annualized costs that we are evaluating and we expect to execute over the end of the second quarter. You know, that includes a number of things, including optimizing our print business and driving efficiencies through additional technologies like agentic AI and others. So that gives you a little flavor as to, you know, how we are thinking about FY2025 and why we have the confidence in achieving those.
Daniel Harriman: Okay, guys. That was really helpful. Thank you, and best of luck in the coming quarter.
Operator: Right. Thank you, Daniel. We have no questions on the web, so we will turn it back to Kevin for closing remarks.
Kevin Mowbray: Well, thank you all for joining us this morning. We remain keenly focused on transforming our business for the long-term benefit of our shareholders, our employees, our readers, and our expectations. We appreciate your time this morning and your interest in Lee Enterprises. Thanks again for joining the call.
Operator: Thank you. At this time, we have reached the end of our question and answer session. This concludes our call. Goodbye.